Operator: Ladies and gentlemen, welcome to the Full Year 2020 Results Conference Call and Live Webcast. I am Myra, the Chorus Call operator. I would like to remind you that all participants will be in listen-only mode and the conference is being recorded. The presentation will be followed by a Q&A session.  At this time, it’s my pleasure to hand over to Detlef Trefzger, CEO of Kuehne + Nagel. Please go ahead, sir.
Detlef Trefzger: Thanks, Myra. Good morning, good day, good afternoon and good evening to all of you, and welcome to the analyst conference on the full year 2020 results of Kuehne + Nagel International AG. Our CFO, Markus, and I welcome you from as always from sunny Switzerland.
Markus Blanka-Graff: Thank you, Detlef. And also welcome from my side too, ladies and gentlemen on the call. I'm starting, as usual page 16 of the presentation, income statement. And indeed, it has been a year of extraordinary events. I think, looking into the full year numbers, they do not, at least justice to what has happened on the development of the year. I think what started as a maybe a series of unfortunate events, what we thought would be the second quarter of 2020 has really given a lot of uncertainty and volatility into business, and it's also in the numbers.
Detlef Trefzger: Thank you very much, Markus. During the last year, the pandemic year, a crisis year which we tend to forget when we look at the figures, our strategy has been clearly confirmed and in all aspects. The strategy, if you remember, right, is a blend of customer, technology and people and we have a lot of programs running. One Markus was presenting in detail, which was the eTouch program. But we also said that this implies a strategy also has an M&A element and we made clear statements on that, also during the last calls. We always were doing bolt-ons as we call them or you call them and we always stated that Asia is in our focus, especially was sizable asset light operation with an attractive or giving access to an attractive Asian customer base. We were very happy that eventually with Apex Logistics, we found exactly that fitting target so to say, and we announced Monday last week, the signing of acquiring 87.3% of the Apex Logistics Corporation and for a purchase price that Markus has stated in the range of CHF1.1 to 1.2 billion. We have posted some details on that slide 26 here, which I will not read out to you, but it's sizable business. It's interesting competence. It's focusing on where we are weak at the moment, the Trans-Pac, as well, the intra-Asian trades. And it's also giving us access - an expertise in e-commerce fulfillment, hi-tech and e-mobility that could be complimentary to our customer base. We buy the stock on a debt and cash free basis. And as always, this may be the earnings are immediately accretive for 2021. And as always, please expect also a material impact on the EBIT from amortization of acquired intangible assets, the typical approach that we apply. There were some questions posted or announced on the EBIT of Apex. And there was from our side  of your very good assessment, was one of the analysts that stated that the EBIT should be around CHF 100 million per annum on a continuous - on a continuing basis. So I think that's a very good range. We will not show any details or figures at the moment because Apex doesn't belong to us yet. And we expect closing by quarter three 2021. So that in the quarter three we thought we could do or will do for sure a deep dive on the Apex figures and how these are then complimentary to the Kuehne + Nagel figures. We are excited about this because it confirms that an asset light target is available. And we were always looking for successful competitors, so to say in the market, rather than restructuring cases because we wanted to combine strengths with strengths for leveraging our customers business. The other strategic element that we always stated in the last year's part of our strategy has been sustainability. And also in the pandemic year 2020, despite all the restructuring and M&A and so on, we continue pursuing our sustainability targets. Based on the principles, identify, avoid, reduce, compensate, all four principles are part of our doing in the sustainability sector. And it's an important program that we launched. The program is called Net Zero Carbon, it has hundreds of initiatives and program is running, some of them are internal, some of them are supplier-related and some others are customer-related. In 2020, for the first time ever, we were CO2 neutral for our own emissions, Scope 1 and 2. And we push hard to achieve the target to be CO2 neutral, the entire emissions, including Scope 3 by the year 2030. For that we are also an active participant in many sustainability initiatives. And we are listed in the Swiss Performance Index, ESG and ESG Weighted, as well as in the Swiss Bond Index for the ESG category. You will for sure hear more of that development throughout the next analyst calls because we believe that we have responsibility as one of the leading players in our industry to signal that CO2 emissions and the reduction of those matters for all of us. And last, but not least, let me summarize the key investment highlights, because we had some discussions with you and questions recently and let us conclude on who we are and how do we do our business and what can you expect next? First of all, we are building on upon 130-years of success. And this is based on a global leadership, as a sustainable high quality integrated for water and contract logistics supplier. So the integrated approach is important because we are one of the few that can holistically find solutions for our customers worldwide. We are specializing in tailored, asset light, industry specific solutions and we have mentioned pharma and e-commerce, very often in these days, but there are other specialized - so that we pursue. For example in the aerospace industry, interior chain for example, in farm - in projects business, product logistics, in reefer and perishable. So there are areas where we have experts and solutions that we scale around our lope - around the globe to service our customers. The basis for this is our strong in-house Information Technology and Innovation platform, which we invest in continuously. And that is always on the latest state of technology, and very important driver for our e-commerce initiatives, a very important driver for our other platform activities that have gained a lot of traction, especially last year. How we grow? We concentrate, we focus on profitable organic growth, and complemented by strategic bolt-on acquisitions. And the last years not only was epic, but with other acquisitions, we have shown that these bolt-on acquisitions can create a very significant impact, positive impact on our further organic growth, but also on the P&L. And how we think? Had we mentioned that also in some of the calls, we have the pleasure and the honor that we have a long-term vision, that we can pursue our long-term vision, which is supported by a majority of ownership that is also long-term or forever. And that helps us to stay on course, even in times of a pandemic or other crisis, and to pursue targets like an acquisition or development of business niches organically ourselves. And having said so, that is the key investment highlights of the Kuehne + Nagel organization. And here with, I’ll hand back to Maura and we are looking forward now to Q&A.
Operator:  The first question is from Daniel Roeska from Bernstein Research. Please go ahead.
Daniel Roeska: Good morning, gentlemen. Three if I may. Number one towards the volume growth. What are the main reasons why kind of in Europe mind - Europe lagging the market a little bit? And what needs to achieve - what needed to change in order for you to achieve your twice market growth target again, kind of what's the path from here on? And when can you kind of grow back into the market and take market share? Secondly, in a call earlier, you mentioned kind of a update on medium, longer term targets, probably later this year after Q3. Which means you're probably reviewing strategic targets right now. What's the focus of that? Kind of what which areas are you looking at? Kind of what are some of the themes you're considering? And then maybe on the Apex business, you already said, kind of what Apex brings to the Kuehne group? Could you know, flip that around, and what is it that Kuehne brings to Apex, given that you're running this now at a kind of arm's length or with minority share in a way. What benefits does Kuehne bring to the Apex business? Thanks.
Detlef Trefzger: Hi, Daniel. Detlef, speaking and I'm happy to answer your questions. Let me start with your first question, volume growth. We are talking about a pandemic year and yields being in a off-equilibrium situation, the supply side of capacity being very tight. A lot of the commodity businesses couldn't afford the rates anymore virtually. So we are talking about forestry products, we are talking about parts of the recycling business and so on and so forth on paper and so on. And all this led to a different cargo mix, which was more advantageous. And also we were more selective, especially in quarter four in Sea Logistics, accepting cargo when the market was so tight that it was very hard not only to find capacity on the vessels, but also to find some containers empty to be filled with whatever goods. We have to review whether twice the market will be a target for the next 12 or 18 months. In principle, I would always say yes, that's our target and it's doable. But given the market situation, there better - we might be. It's not an answer, we might be better off in being more selective for the next couple of months because there will be no major change in the next - in the next maybe months or quarters to be expected. We stated that we would review our targets and I think it's also clear, with Apex joining Kuehne + Nagel eventually throughout this year, and becoming part of Kuehne + Nagel, even if it's continuous standalone at arm's length, I think we have to review our target setting. But this is a process that has no hurry because we confirm again our 16% conversion rate target for 2022 for the whole group in the mix or in the in the setup as – that we have stated when we went through the details with you during the Capital Markets Day, at September 2017. So, expect maybe an answer end of this year, early next. But it's still two years to go. Now we are we are all impatient, like you, but it's still two years to go. We have started the fourth year of a five year strategy, plan implementation. And your fifth - your third question is what can Kuehne + Nagel bring to Apex? Apex is a strong player in air logistics Intra-Asia and across Trans-Pac. And this strengths has a chance to be leveraged with Chinese or Asian customer base into the Kuehne + Nagel networks. In Sea Logistics global, but also when it comes to European, Middle East African or even Latin American customer base. So we can mutually benefit from network access, both - in both directions. And we bring complimentary solutioning to Apex with regards to maybe road logistics, contract logistics, but for sure sea logistics and maybe also with some of our niche solutions that we pursue.
Daniel Roeska: Thanks.
Operator: The next question is from Robert Johnson from Exane BNP Paribas. Please go ahead.
Robert Johnson: Good afternoon, Detlef and Markus and well done on the strong results today. Three questions from me also, please. First of all on air freights, could you perhaps provide some additional detail on what drove the gross profit per kilo to such a high level during Q4? You obviously mentioned a focus on high yield volumes during your comments. But was that the only factor or were there any other factors at play, such as locking in capacity at attractive rates or successful using your dedicated capacity or anything else? I guess what I'm really trying to get a feel for is the sustainability of the GP per 100 kilo load around the CHF 95 level? And second question on Apex. You said in the press release when the deal was announced that Apex would be operated separately within the Kuehne + Nagel Group, could maybe just talk a bit more about the rationale for taking that approach. And also maybe just talk about whether you see any material operational synergies from the deal? And then finally, just on the purchase price of Apex, you mentioned the CHF 1.1 to CHF 1.2 billion on the call for the 87% stake. Could you also maybe just provide an indication of how much net debt will come with the acquisition? Thank you.
Detlef Trefzger: Sure. Happy to answer your questions. Let me answer the latter. We - I think we have stated that we buy Apex on cash and debt free basis. And that is the clear answer to that. So Apex operated separately was your second question. The rationale is, it's a different customer base. And yes, there are some synergies, but it's a gross M&A. It's a strong player, it's a successful player. And we want to combine strengths, as I mentioned before. So it's orienting - its orientation is to continue growing with its customer base and deploying the Asian markets, as much as we can, and offering network access for both sides. So them joining our networks where applicable and vice versa. Standalone doesn't mean that we don't have synergies, we will have for example, procurement synergies, most likely, but we want to keep the strong and very experienced management of Apex in the Kuehne + Nagel organization and the freedom to act is very important to them, because their business is similar to ours, but their customer base is different. And that's the beauty of that deal. Your Air Logistics question, you will get an answer now which might sound funny, but it's a Sea Logistics answer. Because high rates, very constrained ports and low capacity or low capacity no containers and sea logistics heavy especially for some of our customers to move parts of our effort and it was a you know, a top decision to ensure that the Christmas business and other goods are right on time at the destination. And that for sure has led to higher yields and also the volume development. In addition, we have the cargo mix is different because perishables is under pressure and the perishable portion of our total volume has been reduced relative to the rest. And that altogether leads to the figures that you have seen in quarter four.
Robert Johnson: All very clear, thank you.
Operator: The next question is from Sathish Sivakumar from Citigroup. Please go ahead.
Sathish Sivakumar: Thanks, Detlef and Markus. I’ve three questions here. Firstly, on the inventory levels. What are your customers are talking about in terms of the inventory levels? Where are you seeing versus 2019 across the different verticals? And just following up on that, are you - is your customers actually factoring a potential impact on consumption from the vaccine rollout and opening up of the hospitality sector? And my second question is on contract logistics. You know, in the past you used to give a split between the warehouses and the solutions. If you could just give some color on it, where we are today, between the warehouse and solution? And then are you seeing any pressure on acquiring more warehouse spaces for your customers and you already flagged that you're operating at a low idle space? And what are the growth opportunities that are you likely to target? Is it fair to say that division will see growth from Q2 onwards? And finally, on the financials, if you could quantify the overall impact from the government support in 2020, like the furlough schemes and force majeure, and so on? And how does one should think about it going into 2021?
Detlef Trefzger: Okay. Sathish, hello, and let me answer your questions. Inventory levels, I think it's different for industry, and it would take very long to go through all the industries. But in principle, we have seen inventory levels being built up in quarter four, and partly early this year. This is driven in quarter four, it was driven, especially in Europe, by the Brexit, so many of our customers have built up inventory levels, pre-Brexit end of last quarter, and it's partly driven by certain commodities that are more seasoned business. So DIY, for example, driven or impacted by the pandemic. And as I said, in our short presentation, at the moment, the consumption pattern has changed, but consumption is happening and consumption is happening in-house, apartment, garden and leisure, private sports, so to say, and that is very strong. The impact of consumption with the vaccination, I think it's by far too early to say, Sathish. We are - if you ask me personally, one year away from seeing a real impact of the societies globally being vaccinated by a degree of minimum 50%, 60%, 70%. We do not expect a major rebound of hospitality or leisure sector where people can, you know, meet other people with hundreds or thousands in the next, let's say two or three quarters, would be very surprising. The focus is and should be on vaccination and the rollout of vaccines and that's the most important topic. The sea air special services I mean, the focus is on pharma and e-commerce fulfillment. I think we mentioned that, which is a huge part of the portfolio already today. But our target is that 30%, 35% of the total portfolio is a pharma and healthcare business. We scale some of the automotive solutions right now and industrial solutions, but that's it. We are not pursuing isolated standalone warehousing, simple warehousing businesses anymore. And that would be my feedback to your first three questions and then there was a fourth question question, which Markus is happy to answer.
Markus Blanka-Graff: I think your fourth question was on government subsidies, I have to emphasize that the company itself has never received government subsidies. So we're not talking about liquidity bridges or anything else that other companies have drawn from government. So the supports that our employees have received through short term labor or any programs like furlough programs. And you can see that in our annual report, we have disclosed it as the  impact employees and through our payroll have received subsidies in the total amount of CHF 83 million. But again, I emphasize the company itself has never drawn on any government subsidies.
Sathish Sivakumar: And just to follow up on that Markus…
Markus Blanka-Graff: Thank you, Sathish. If you need any further question, please address either to Chris or go into the annual report, please place. Thank you.
Operator: The next question is from Neil Glynn from Credit Suisse. Please go ahead.
Neil Glynn: Good afternoon, everybody. Thanks for taking the questions. And if I could ask two please. The first one, just on the subject of M&A again, from my vantage point over the years, Kuehne, as an acquirer, it's always been a bit difficult to judge given the scale of acquisitions in the past. But you've obviously bought targets with specific capabilities and customer bases in the past. So would it be possible to help us understand whether with Quick or any other acquisitions, how your governance approach has worked with respect to that M&A, how you've measured synergies and any tangible fruits of synergy within those deals in the past? Just to help us think about how you'll manage Apex going forward? And then the second question a bit more specific on the financials, with respect to lease liabilities. And the lease liabilities on the long-term side, or the non-current side, stepped up about 9% in the fourth quarter on the balance sheet. At the same time, the cash payment for lease liabilities in the fourth quarter was down to CHF 101 million, whereas the prior three quarters, it had been around CHF 130 million. So just interested in what exactly happened with respect to the lease liabilities and the cash associated in the fourth quarter, if it's possible to provide some color. Thank you.
Markus Blanka-Graff: Sure. Maybe I take the second one first, on the lease liabilities, I think it's a function of renewal of longer term leases, that obviously puts on to the - puts onto the balance sheet with on the one side, right-of-use assets and the other side, lease liabilities increasing. So it's a function of thinner  rather then increasing cost base. So that's why you have different dynamics around the cash out. And actually, what happens on the balance sheet. IFRS 16 is - I try to be as polite as possible, helpful on that one.
Neil Glynn: Thank you. I appreciate. It's a really – its probably frustrating question.
Markus Blanka-Graff: No, no, it's fine.
Detlef Trefzger: And then a question regarding M&A, Neil. The - you're right. We have a track record of bolt-on acquisitions. And it's always focused on either a niche, a solutioning, or access to customers, that we were looking at a competence that we could not build up ourselves in the short time organically. And I'll give you two examples. In Air Logistics to compare this with, we have acquired CSI, the market leader in perishable logistics in the US, which became an integrated part - integral part of our perishable networks globally. And then we have acquired a couple of years ago, Quick as the market leader or one of the market leader, was not the market leader in time- critical shipments, which is a complimentary and integrated part of our solutioning in the pharma and healthcare sector and also in the aerospace aviation AOG solutioning. So what is the principle? We acquire a nucleus and then we scale that nucleus into the markets that we have access to or our customer base. And at the same time, we offer a much broader range of services to the nucleus’s customer base itself.
Neil Glynn: Understood. And just - and thank you for that Detlef. And I guess, I mean, 2020 has obviously been obscured by a myriad of factors, but from your perspective in terms of how you assess the value created by CFO - CFI, which I think was 2017, and Quick, internally, do you judge it as the incremental contribution to EBIT per 100 kilos? Or what is the central truth for you, when you asses it?
Detlef Trefzger: I will answer with Quick. And quick is the nucleus to have gotten access at a very early stage of research and development, Phase 1, 2, 3 testing in the COVID-19 vaccine development. So we deal with many OEMs via Quick at a very early stage of their product development. And then we hand that customer over eventually to become a customer of ours in the normal air logistics or other networks, when it comes to vaccine distribution. So I think that is - it gives you the best example. Without Quick, our vaccine solutioning would be not as strong as it is today. And we would not be able to deal with more than 300 pharma OEMs in some of their solutioning and research- research phases that eventually become then a high scale product distribution business worldwide.
Neil Glynn: Great. Thank you for the detail.
Detlef Trefzger: Sure.
Operator: The next question is from Andy Chu from Deutsche Bank. Please go ahead.
Andy Chu: Afternoon and well done on some fantastic numbers. Three questions, please. In terms of air freight yields, I guess a lot of people are thinking about the air freight yields will collapse, as we go through the year, so just wonder what your view is on air freight yield capacity in the market? Secondly, on the Apex acquisition, if you look at sort of EV to sales, you can quickly get to sort of 0.6 times EV to sales, that would imply something around 6% EBIT margin. I think there was some press articles around $120 million of EBITDA for Apex, I wonder if you can help us maybe with a sort of profit number for Apex? And then just - maybe a bit of a weird one, just in terms of contract logistics and the Airbus contract, which apparently, if I'm correct, has gone back in-house, and there was - but there was a an article, again, in the press around say the picking up some Airbus contracts, but I'm not sure whether that's - the business that he lost and was taken in house or maybe a comment please on Airbus and whether that might be material and then why was that contract taken back in-house? Many thanks.
Detlef Trefzger: So I will take the Airbus question first. And the Airbus contract which we handed many years, we indeed handed back to Airbus, and most of it is taken back in house. And I think Airbus has also announced that the production figures have decreased significantly and will stay on a very low level for the years to come. And we mutually agreed that the best solution would be to do what we will do in the next couple of months to hand back that business to them. And parts of it might be subcontracted to a local service provider. But the majority, two third of the contract is in source internally and the rest is with this local provider. The other two questions 
Markus Blanka-Graff: Let me take the Apex profit number. And the surge for it, I think is, I have to be very clear. We had multiple requests as you can imagine, to disclose some of the profit numbers. I have to emphasize one thing, we are in a period between signing and closing and in the unlikely event, the very unlikely event that closing would not happen, we have an obligation today not to disclose any numbers that would not be public. So Apex has never published numbers to the extent of their profitability. So I can not respond to your question today. If I may ask you that, we have to respect the fact that between signing and closing that is the situation we are in. We can only as we did previously, we said there is some reports out there that we will not endorse, but we will find or we would find reasonably well analyzed. So I cannot go further than that and please forgive me that I cannot do more than this.
Detlef Trefzger: Good. And then your first question, air logistics yield collapse, you said, I would like to remind you that the market at the moment is driven by a lack of belly capacity, significant lack of belly capacity, we are around 90% down to the normal belly capacity that we have seen in the networks globally in 2019. And we do not expect and nobody knows, but we do not expect this capacity to be back and available before 2024, 2025. And Markus has given you some details on eTouch, before our counter response to that development will be a much higher proportion of our processes and shipments being shipped eTouch, because that's the – the purpose so to say of our eTouch approach. I hope that answers your question.
Andy Chu: Yeah, it does. And thanks very much for those answers. And maybe just quick follow up on the air freight yield, does that in effect mean that you think that air freight yields for ‘21 and the second half remain relatively resilient than either the capacity, you know, it comes back in 2024 and you mentioned 2025, and therefore actually a strength in air freight yield should remain for the foreseeable future? Is that the conclusion?
Detlef Trefzger: I would say your conclusion is correct for 2021. And we might see the first signs of yield slight, not collapse, slight decline, as of 2022, speculation. It really depends on alternative capacity, which is belly capacity.
Andy Chu: Sure. Okay, that makes sense. Thank you very much.
Detlef Trefzger: Sure.
Operator: The next question is from Mark McVicar from Barclays. Please go ahead.
Mark McVicar: Good afternoon, both. I hope you're well. Just two quick questions. First one because we were talking about supply you know, containers supply is clearly a mess all the reasons you know, we understand around boxes in the wrong place and the lack of people capacity of terminals. In your planning, how long is that going to take to unwind, is it another quarter from here or two quarters or longer than that? And the second question is just to pick up on, you know, you talk about the US road volumes still being quite weak, what are the specific industry verticals that are still down so much?
Detlef Trefzger: Okay, Mark, hello. Detlef, speaking, let me answer your questions. Container supply is tight, because the demand is there, but we have a congestion at the port and this congestion is driven by all the health and security measures the pandemic has caused. At the moment you wait in Long Beach for the vessel to be unloaded, 16 days one six. So, one aspect to get off that hook, so to say or to ease up the container situation is to fasten the ship handling in the ports. We would expect this not to be solved before summer this year, yeah, and it depends on vaccination, depends on other security measures and so on and so forth. The other topic with regards to your industry or industry volumes and situation, I would say at the moment we have a very distorted consumption pattern and that drives also what is happening in the US, it drives the demand and the level and some of the industries have a very low consumption. For example, the aviation aerospace industry with spare parts business they are at 90% of the planes are still grounded. We have other industries the whole what I would call leisure, private entertainment, travel, restaurants, hotel industry, even cruise lines, they are not existent at the moment, as showing a demand that is significant. So all this together will need and we mentioned that during the presentation, more higher percentage of vaccination grade in the societies we are doing business in and that will take time. So at the moment, most of the industries are not on a level, volume and consumption level that we have seen before and e-commerce is the alternative consumption pattern because consumers have money and they want to spend it. But it's a different channel that is used. I hope that answers your question.
Mark McVicar: That's great. Thank you very much.
Detlef Trefzger: You’re welcome.
Operator: The next question is from David Kerstens from Jefferies. Please go ahead.
David Kerstens: Good afternoon, gentlemen. Two questions, please. First of all the IATA figures published yesterday, I think they said volume is now back at the pre-COVID-19 levels in January, whereas capacity was down 5% versus December. Does it mean the market is still tightening? And that we could actually see your average yield to go up even further in 2021, rather than declining to a more normal level? Second question is regarding to - regarding the divestment of the drinks, contract logistics drinks business in the UK to XPO logistics. When was this business deconsolidated? I think the approval was early January, I was wondering what the accounting effects were that you are normalizing for any bridge on slide 17, the CHF 62 million. And I think in the press release, you highlighted a one-off impact of CHF 42 million in the fourth quarter? Thanks very much.
Detlef Trefzger: Sure. So let me start David was the drinks logistics, we announced that deal with XPO, I think early March last year, if I'm not mistaken. And it took until end of last year to get the approval from the antitrust authorities or the merger control authorities. And the numbers of 2020 include fully the care  and drinks logistics business that we have disposed. With the 1st of January 2021, the deconsolidation has happened and the colleagues of drinks logistics now find a better home at the XPO and we are happy for them. The IATA volume figures, I think we mentioned that before, the market is tightening because it's tightening is there - is additional demand coming into the average networks from the so to say time-critical shippers that cannot rely on sea logistics anymore, as they have to wait in Long Beach, for example 16 days to get their container unloaded in the port. So that is causing an additional demand. And the city is still tight, we don't see any change in capacity. And belly I mentioned before, I don't think we need to repeat it, 90% of the belly capacity is not existent anymore. The majority of belly is existent only intra-Asia.
David Kerstens: Understood. And the CHF 62 million, if that's the one-off accounting effects plus the EBIT that you take out of the…
Detlef Trefzger: No. Sorry, David, that's only the one-off effect, operationally the EBIT is shown in the contract logistics business. There's an additional negative EBIT effect because we had lockdowns, furloughs, and couldn't ship and no consumption in restaurants.
Markus Blanka-Graff: I think David, there is two things, you're referring to the 62, which is the one-off from the XPO sale and the quarter four we have 46, right? And the difference to that is there's also other one-off effects that are smaller on the single unit. But we have highlighted the one in contract logistics, there's also some real estate, so the usual one-offs that we normally disclose. So I think that's a bit too confusing.
David Kerstens: Okay. So that's the CHF 20 million that you show is all understood. Thank you very much, gentlemen.
Detlef Trefzger: You’re welcome.
Markus Blanka-Graff: Thank you.
Operator: The next question is from Michael Foeth from Vontobel. Please go ahead.
Michael Foeth: Yes, thank you. Good afternoon, gentlemen. Just two questions. One is you mentioned that some of your teams in the cross-border road business are now focusing on last mile vaccine distribution. And then I think you also mentioned two examples for that in your press release. Considering the difficulties countries have with the distribution locally, are you seeing more demand for your services and can you fulfill those demands? And is it an attractive business for you? That will be the first question. And the second one is just, if you are interested  to provide any directional indication of where you see sea and air volumes heading in the first quarter directionally? Thank you.
Detlef Trefzger: Happy to answer your questions, Michael. We mentioned road logistics but we mentioned a specialist team in road logistics which is the expo and event team, which usually deals with people flow and goods flow together in expo sites. And the last mile vaccine business is interesting for us. But we have in many countries around the globe, a very federal system, and the decision is taken in the state or the county or the canton in Switzerland, it's not a decision that is taken on a government level. So we are in contact with many. And we have announced the last mile distribution to 54, 55 vaccination centers in North Rhine-Westphalia on behalf of the North Rhine-Westphalian in Germany, so the most populous state in Germany, as well as in the canton of Zurich, which is the most populous state in Switzerland. And yes, we are discussing with others, but so far, we are not able to announce others. While we also work for other OEMs, which we are not able to communicate openly. So this business is attractive, because we have an idle team sitting there and rather than going on furlough with them, use their expertise for a very, very important solutioning that is demanded by societies at the moment.
Michael Foeth: Thank you. And on the volume directions?
Markus Blanka-Graff: So the second question was in sea and air freight volumes in Q1 right? As far as we can see right now, and obviously, what we can say on current trading, in air freight we certainly see an increase of volume in Q1 versus Q1 2019. And not only because of the demand increase in general, but also because we won a good number of new business in the second and third quarter 2020. From the - on the sea freight side, I think we have still to a knowledge that currently and I was just - during the last two or three questions, I was looking up on sea explorer, how many ships actually are currently stranded in front of the US ports. And we have a total of 51 container vessels in front of US ports. So you can actually see that on our sea explorer platform that gives you that visibility. So you asked me about what is the volume forecast? I think as much as any ship can carry and actually be on the water? The answer is that's going to be the number. I think we will own these, when it's really flushing through with containers being available, and maybe some of the supply chains being faster than today. How much was the real volume? So I wouldn't like if any outlook, I would say we will not see any movement for the next couple of weeks, or even for the next two months in that situation.
Michael Foeth: Okay, it's very, very clear. Very helpful. Thank you.
Operator: Next question is from Muneeba Kayani from Bank of America. Please go ahead.
Muneeba Kayani: Good afternoon. A few follow up questions, please. Under contract logistics business, what sort of margins should we think about now that the restructuring is complete? And then secondly, on dividends, now that you've announced Apex and that will close in the third quarter, how should we be thinking about dividends going forward? And then thirdly, with your involvement in vaccine distribution, and kind of the volumes picking up now in the rollout of the vaccine globally. How do you see that impacting the air freight market for the rest of the year? Thank you.
Detlef Trefzger: Right. Muneeba, let me answer your CL margin question, I think would be our target to see a 5% EBIT margin for the CL business moving forward, sustainable, including our investment into growth because as you know, ramping up projects with investment in the beginning, but 5% I think would be a figure that seems to be sustainable in long run. The third question with regards to vaccines. And I think we mentioned that during the presentation or at least I mentioned it today, I don't even know whether I mentioned it in the call today. We have - in the first quarter this year we will see 50 million doses being shipped of vaccines globally. And if you see that figure, it's rather small if you ask me, because we want to vaccinate, 8 point something billion people globally. So we will see 10 to 15 billion doses being shipped throughout the next couple of years. But we know already from the production plants, and it's a production topic. And it's not a logistics topic. We know from the production plants that these figures will increase by a factor of five to seven in the next couple of weeks and months. So we will see a higher figure. But the impact on the P&L is rather moderate. Because that is not - it's not a big part of our business that will drive our P&L here.
Markus Blanka-Graff: And with the dividends going forward, Muneeba, yes. Dividend going forward, you know, we have no published or dividend policy and write, I think we have to rely on what we have done and how we have been transparent in communication in the past. I think our dividend payout ratio is around 90%, 88%, 92%. I think that was based on an excess cash availability at that point in time and no targets that would have fit into our strategic development plans for acquisition. And the moment that has changed, I think we have been very clear in communicating this that we have a focus on M&A target in Asia. And hence we have, I think, put back our dividend payout ratio around the 60% level that we have spoken to in various terms over the last 18 months. I would like to believe that there is also the going forward situation that we have also demonstrated this year again, the payout ratio around 68%. I would believe that this is the way how we should think about the payout ratio going forward.
Muneeba Kayani: Thank you.
Markus Blanka-Graff: Thank you.
Detlef Trefzger: Is there any question operator?
Operator: Sorry, the next question is from Sam Bland from JPMorgan. Please go ahead.
Sam Bland: Hi, there. I've just got two questions, please. The first one is on- so you’ve got the 16% 2022 conversion rate target, obviously above that in the second half of last year. Do you think that target could be reached the year early in ‘21? Or if not, what are the kind of drags and headwinds to the conversion rate to be aware of in ‘21? And the second question is, I think I've seen some headlines today that you’ve been following Apex, the group might look at some further M&A and bolt-ons. Just can you confirm that and what might be left to do, does Apex, you achieve all that you wanted to achieve in Asia? Or might there be some other things in Asia that you'd be interested in? Thanks.
Detlef Trefzger: Sam, conversion rate targets 16%. We confirm that this will be achieved end of 2022. If we achieved that earlier, it will be another reason to review our targets I think for 2022 and the years beyond. But you know, it's a huge effort to get to the 16%. And we always confirm the target. It's not a tick in the box yet. And as we said before, we have to be very cautious with the KPIs at the moment. 2020 was an exceptional year and so will be 2021. And that includes also the comps. So, we will achieve the 16% conversion rate in 2022. And we will work hard for achieving that. Your second question was…
Markus Blanka-Graff: Can you repeat your second question…
Detlef Trefzger: Can you please repeat your second question.
Sam Bland: It was just in some headlines around maybe the business looking at further bolt-on acquisitions, even past Apex, Would be interested in what more thing? What might be interesting from that angle?
Detlef Trefzger: Right. Okay, so first of all, we concentrate on closing Apex and then driving the synergetic roles that we have alluded to before. But we will stay in the market and will be active M&A and the criteria for M&A has not changed, its competence, its customer access, its geography, trade lanes . These other criteria we are looking at. And there are other segments where we could think about M&A, pharma, for example, pharma fulfillment, or the e-commerce fulfillment segment. But it's too early to say and don't start any speculations, please, because now it's on closing - the focus is on closing Apex.
Sam Bland: All right, thank you.
Detlef Trefzger: You're welcome.
Operator: There are no more questions at this time.
Detlef Trefzger: And thanks, ladies and gentlemen for joining our analyst call on the annual results 2020 of Kuehne + Nagel International AG. And we look forward to seeing and speaking all of you again, I think in seven weeks, mid-April, when we disclose our quarter one 2021 figures. In the meantime, stay healthy, get your vaccination, and we talk again soon. Bye-bye from Schindellegi.
Operator: Ladies and gentlemen, the conference is now over. Thank you for choosing chorus call. And thank you for participating in the conference. You may now disconnect your lines. Good bye.